Operator: Welcome to SWM's Earnings Conference Call. Hosting the call today from SWM is Dr. Jeff Kramer, Chief Executive Officer. He is joined by Andrew Wamser, Chief Financial Officer; and Mark Chekanow, Director of Investor Relations. Today's call is being recorded and will be available for replay later this afternoon.  It is now my pleasure to turn the floor over to Mr. Chekanow. Sir, you may begin.
Mark Chekanow: Thank you, Katie. Good morning. I'm Mark Chekanow, Director of Investor Relations at SWM. Thank you for joining us to discuss SWM's fourth quarter and full year 2021 earnings results. Before we begin, I'd like to remind you that the comments included in today's conference call include forward-looking statements. Actual results may differ materially from the results suggested by these comments for a number of reasons, which are discussed in more detail in our Securities and Exchange Commission filings, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. In particular, the extent to which the COVID-19 pandemic continues to impact our business is uncertain and depends on numerous evolving factors which are difficult to predict, including the duration and scope of the pandemic and of actions taken in response to it. Some financial measures discussed during this call are non-GAAP financial measures. Reconciliations of these measures to the closest GAAP measures are included in the appendix of this presentation and the earnings release. Unless stated otherwise, financial and operational metric comparisons are to the prior year period and relate to continuing operations. This presentation and the earnings release are available on the Investor Relations section of our website. I'll now turn the call over to Jeff.
Jeff Kramer : Thank you, Mark, and good morning to everyone. 2021 was an exciting year from a strategic perspective for SWM, highlighted by our acquisition of Scapa. While the year was certainly challenging from a supply chain standpoint, we cannot lose sight of how we grew the business and have our strong position exiting the year. We continued our portfolio shift towards growth markets with our largest acquisition to date and are more optimistic than ever about our prospects for sustainable long-term sales and earnings growth.  While not all 2021 challenges are behind us, we see positive developments on many fronts, providing support for our 2022 outlook of significantly improved EBITDA, EPS and free cash flow. Demand is strong. Our prices now reflect the rise in our key raw material costs and we are actively executing multiple near-term and longer-term innovation initiatives to drive growth, including several synergy projects within Scapa. Before moving into our results, I'd like to again thank our global team for all making this possible. Our organization continues to impress every day proving to our customers that our innovation, expertise and service are best-in-class. For 2 years, our people have persevere-through adversity, both personal and professional and I am extremely proud of the commitment they have demonstrated to our company and to our customers. Many of the themes we'll touch on today are a continuation of those throughout these past several quarters. Simply put, 2021 did not go according to plan. While I am very pleased with our top line performance, the bottom line results were not where we had originally projected as we finished the year with 2021 adjusted EPS of $3.10. Inflationary pressures led by raw material cost increases peaked during the third quarter and flow through our fourth quarter P&L pressuring our results as we closed out the year. Other cost buckets also continued to move higher. However, while pricing previously lagged these escalating costs, continued price increases in recent months have now positioned us more appropriately, and we are encouraged with where we stand. Before going into our segments, I'd like to revisit the Scapa acquisition and its long-term strategic benefits. While inflation and supply chain challenges have monopolized the headlines and results this year, I cannot overstate the strategic importance of this acquisition to SWM. First, it brings a significant portfolio of new industrial technologies and capabilities to SWM which pair well with our existing ones and on the basis of exciting synergy work.  Second, we tripled our already important health care business, giving us a scaled presence in this attractive end market. We have a great portfolio of specialty products and can go to large health care customers with a more compelling suite of solutions than ever before. And third, from a high-level view, Scapa tilted our total portfolio more heavily to growth markets with 70% of our company-wide sales in 2021 coming from end markets and applications we believe can deliver long-term growth rates at or above GDP. So the bottom line is we are exiting a challenging year, but with a very positive outlook for 2022 and beyond. To recap, AMS' 2021, sales were up over 70%, including the benefit of the Scapa acquisition, with legacy organic sales increasing a strong 11%. For the year, our largest gains were in filtration, transportation and construction. For Scapa, 2021 sales totaled over $300 million for the 3 quarters since the acquisition and were ahead of plan. Excluding currency fluctuations in GAAP accounting conversions, Scapa sales were directionally up double digits versus 2020, and we're very close to pre-COVID levels. Within health care, consumer wellness is growing nicely with successful product launches such as blister and burn cast solutions, facial cleansers and acne treatments. Products used in hospitals, though, especially materials used in medical devices are still recovering as consumers have not yet resumed elective procedures and discretionary visits to hospitals due to COVID concerns. Scapa's other diversified product lines in construction, transportation and industrial all higher than last year. Filtration grew approximately 25% for the year with good growth across water, process and air. Our water customers continue to benefit from the increasing needs for drinkable water, especially in large coastal cities with the most rapid growth in Asia and the Middle East. Our teams continue to relay bullish outlooks from our customers for new capacity additions all over the world. We are also seeing good demand for RO customers serving the beverage industry as manufacturers are increasingly using filtered liquids and marketing these higher-quality product attributes. In addition, a positive developing subplot in the RO industry is increasing energy prices, which tend to make running older and less efficient filters more costly to run, potentially increasing the changeover velocity as water filtration plant operators may choose to replace filtration cartridges more frequently. Process filtration also remained strong with high demand for semiconductor production and air filtration remains an increasingly attractive segment where we have innovations on the way and which will further expand our offerings. Notably, we believe our filtration sales could have been even higher in 2021, if not for labor shortages in certain manufacturing locations. Transportation was up more than 20% for the year. And as we have indicated recently, was actually constrained by limited access to the specialty TPU resins used in the production of our paint protection films. Some of the raw materials further up the value chain seeing heavy demand from other products. This shortage has resulted in tens of millions of dollars in high-value sales left on the table in 2021. Demand for the product is tracking well ahead of what we or any of our competitors can supply. It may be late 2022 or early 2023 before sufficient resin capacity comes online to fully meet the demands of the marketplace. As the global market leader, we believe we are as well positioned as possible to supply our customers, but it will require flexibility. Looking beyond the supply constraints, this is an area where we see good long-term demand, and we will continue to invest in capacity and innovation to maintain our leadership position. Further, we see synergy potential with Scapa as new coatings and ease of capabilities can potentially add to our offerings in this high-growth area. In construction, we experienced a strong rebound from 2020, driving growth across many product lines. Our  and erosion control products are benefiting from highway and residential construction activity and we also continue to penetrate the solar farm construction market. It is also important to emphasize that our strong 11% organic sales growth was off a solid 2020 performance when our resilient portfolio seemed to outperform many other industrials with only 2% organic decline despite COVID-related demand disruptions. However, we clearly felt the impact of sharply higher costs, especially for raw materials. Looking back on 2021, our price/cost variances were a major issue for our results. And frankly, in hindsight, we should quicker and implemented larger price increases to more closely match the unexpected and truly unprecedented rise of input costs. The impact was evident in our margin compression in 2021, and it was most pronounced in the fourth quarter. So where do we sit now with respect to pricing? We are pleased that after several rounds of price increases, we are starting 2021 with selling prices that are aligned with current resin costs and expect to have improved price versus cost variances in 2022, especially as polypropylene has pulled back in recent months. Raw material costs were not the only challenge of 2021 as labor, freight and general supply chain disruptions all impacted results. We are entering 2022 in a better position and have adapted to the new normal of inflation with more aggressive approaches to offsetting cost through a combination of operational and pricing actions. Just one quick comment specifically to the fourth quarter's reported organic growth rate of 2% for legacy AMS. Recall that the fourth quarter of 2020 was exceptionally strong for our transportation business. It was up over 70%, driving 20% organic growth for AMS overall. That quarter marked the beginning of the transportation films rebound following very soft quarters at the onset of COVID. Therefore, our fourth quarter we just closed had an extraordinarily tough transportation comparison, compressing our fourth quarter organic sales for AMS overall. Our transportation business has had significant quarter-over-quarter fluctuations in both directions since COVID began. But if you exclude it from our fourth quarter numbers, AMS organic growth would have gone from 2% to 8% for the quarter, again demonstrating the broad health of the business. Switching to Engineered Papers. The year went as expected with the exception of the rapid rise in wood pulp costs and other inflationary and supply chain challenges. Recall, when we issued our original 2021 outlook, our expectation was to return to segment operating profit in the mid- to low $120 million range following the large 2020 benefit of several customers building LIP inventories.  While 2021 volumes were down 2% and total sales down 4%, this result was generally expected with the negative mix coming from anticipated decline in LIP papers as customer inventories were rebalanced. However, wood pulp costs began rising at a steady pace at the outset of the year, which was shortly after several of our large contracts had annual price resets, forcing us to absorb the impact of higher pulp costs throughout much of 2021. We did successfully take action with many of our customers later in the year to reflect the unusual supply chain considerations, but were unable to fully cover the variances. We are pleased to say, however, that our contracts have reset and pulp costs while elevated, have at least been stable in recent months after peaking in the fall. Much like AMS, our selling prices now reflect recent pulp costs, and we look forward to better price versus cost variances in 2022. We also continue to take actions across the business to minimize the impact of higher freight and energy costs, including cost reductions and securing additional profitable volumes. On a positive note, working with our customers through the various issues facing global manufacturers has actually strengthened those ties. They have recognized even further the value of our global supply chain and our ability to go the extra mile to ensure high-quality products and service levels despite numerous headwinds. Further and importantly, our innovation pipeline is increasingly important to our customers' ability to execute their strategic shifts to lower risk products and increase sustainability. As an example, Heat-not-Burn had a very strong year with product sales nearly doubling. These reduced risk products are a great case study in innovation for the industry and how SWM was well positioned with our customers to capitalize on this emerging trend. We have the development capabilities, the technical expertise and unique manufacturing technologies to capitalize on this demand. What was once an immaterial, but rapidly expanding product line is now more than $25 million in annual sales and growing with attractive margins. Furthermore, as we alluded to last quarter, we have made significant progress in our botanicals expansion to develop truly innovative products. We are particularly excited about the recently publicized launch of Botani, our industrial hemp and botanical fiber solutions business aimed at the emerging nontobacco alternatives marketplace. We are producing wrappers and papers as well as filler products made entirely from hemp with the capability of being infused with active ingredients. Our customers can use these material to mark the unique products to a growing customer base seeking innovations in this rapidly evolving space. To illustrate our capabilities, we can produce paper and filler components such that a customer can produce a nontobacco non-nicotine based pre-rolled product that could be infused with CBD, for example. We are very excited about the prospects of these hemp-fiber materials as we are, again, proving our ability to innovate and deliver new materials to an emerging marketplace. Much like Heat-not-Burn, sales are expected to be relatively small at the start, but we see significant growth potential, and we'll continue to invest to support this business and our customers. Other innovations underway involve synergies with our Scapa acquisition around leveraging our paper assets with the specialty tapes business. Second is an effort to develop sustainable specialty packaging solutions with particular focus on fiber-based packaging or other products to display less environmentally friendly single used products. And finally, we are working with our tobacco customers to evaluate ways to make filtration more sustainable with the possible use of paper-based materials to replace other materials. We look forward to sharing more on these opportunities as our plans progress. With that, I'll turn the call over to Andy to review the financials in more detail.
Andrew Wamser: Thank you, Jeff. Consistent with Jeff's comments, I'll focus mostly on the full year results and trends and highlight key fourth quarter takeaways and then review our 2022 guidance. Starting with AMS, full year sales were up 71% with organic growth at 11%, and Scapa contributed $306 million as we own the business for nearly 9 months. We estimate that organic sales growth could have been in the range of 15% to 20%, if not for the specialty resin shortages we've experienced and some understaffing in certain sites where we produce filtration materials. Despite those limitations, filtration and transportation each had excellent growth in 2021 and were up approximately 25% and 21%, respectively. As noted earlier, fourth quarter organic sales growth was 2% as transportation faced a very difficult comparison to the fourth quarter of last year when demand rebounded sharply, and we had no resin availability constraints. Adjusted operating profit for the full year increased 17%, reflecting the high organic sales growth and the incremental profits from Scapa. However, significant inflationary costs and supply chain issues pressured margins. Segment adjusted operating margin contracted 530 basis points to 11.5%. As we indicated in November, polypropylene resin input costs peaked during the third quarter, and materials purchased during that period would flow through the P&L during the fourth quarter. This factor contributed to a fourth quarter adjusted operating margin of 7.3%, down from 17.5% in the prior year quarter. For the full year, higher resin costs, mostly from polypropylene had a negative effect on operating profits of more than $30 million compared to 2020. We recovered less than half through price increases. We would also note that in 2020, polypropylene was historically below the normalized price, which has often been in the $0.60 to $0.80 per pound range. Thus, the year-over-year impact is exacerbated by the comparison to the very low prices in 2020. With our latest rounds of price increases, we believe we are caught up on polypropylene and are very encouraged to see raw material prices trending toward $1 per pound, well off their high in the fall of over $1.40 per pound. While polypropylene is the single biggest variance driver, other factors such as higher costs for other materials and freight also contributed to margin contraction on the base business during the fourth quarter and full year. Regarding Scapa's profit contribution, the acquisition boosted AMS's segment adjusted operating profits by $24 million for the year. However, as noted in our release, approximately $6 million of Scapa's SG&A costs were booked in our unallocated costs, not within AMS, so please be cognizant of that when assessing our segment financial results. Thus, while we originally expected the transaction to be slightly accretive to 2021 adjusted EPS, the unexpected inflationary costs and supply chain challenges caused the Scapa acquisition to be slightly dilutive. While not satisfied with the overall 2021 AMS segment financial performance, we are very pleased with demand fundamentals and are more comfortable with our current pricing in relation to raw material costs, and expect solid operating profit growth and margin improvements in 2022. For Engineered Papers, 2021 sales were down 4% on a 2% volume decline. Favorable currency was an offset to negative price mix. As we've discussed all year, we knew 2021 would be a tough comparison to 2020, not only on the top line, but from a margin standpoint as well, in large part due to a normalization of LIP volumes. For the year, EP segment adjusted operating profit was down 18% to $109 million with margin down 360 basis points to 21.5%. Fourth quarter results were directionally consistent with those trends. While most aspects of the business played out this past year, generally as expected, the steep increase in wood pulp costs caused a significant variance in operating profits versus our expectations. Input calls for more than a $15 million headwind in 2021 compared to 2020, the large majority of which was from wood pulp with energy being the second biggest driver. Our annual contracts in 2021 reflected year-end 2020 pulp prices, but costs increased dramatically throughout the year, while our selling prices were locked in. Recently, several annual contracts have been reset to reflect recent pulp prices. We are encouraged that the pulp index appears to have peaked in the fall, but has not exhibited a pullback the same way polypropylene has. While our large contracts are on a staggered renewal schedules, we are in the process of migrating towards semiannual resets for key input costs like pulp and energy and certain surcharges in the event of drastic increases in other costs such as transportation. These terms should allow us for quicker price recovery and less volatility in margins over the long term. Regarding adjusted unallocated expenses, we saw an increase of $5 million for the full year. However, as noted, we booked $6 million of Scapa's unallocated expenses in our expenses, more than accounting for the total increase. Excluding Scapa, our unallocated expenses would have decreased in 2021 compared to 2020. For the fourth quarter, unallocated costs were down approximately $5 million due to the timing of various corporate projects as well as lower incentive expenses given we did not meet our financial targets for the year. On a consolidated basis, sales for the year increased 34% to $1.44 billion and were up 4% on an organic basis. Adjusted operating profit decreased 7% to $159 million. Full year 2021 GAAP EPS was $2.80 versus $2.66. Normalizing for non-GAAP adjustments, adjusted EPS was $3.10 in 2021, down from $3.68. We estimate the cost of inflation on resins and wood pulp alone that we did not recoup through price increases had an impact of approximately $0.55 per share on EPS for the full year compared to 2020 when material costs were low during the pandemic. In addition, the lost sales of transportation films alone was more than a $0.30 impact for the year. To reiterate our comments from last quarter, these are our best directional estimates and indications, but they clearly convey the magnitude of the financial impacts. Now moving on to our guidance. We see a double-digit sales increase and strong profit recovery in 2022 as a result of the actions taken in 2021 and continued strong demand. And while we are still forecasting some supply chain challenges in 2022, we project adjusted EPS in the range of $3.50 to $3.95, implying growth of up to 27%. We are also going to provide directional guidance for adjusted EBITDA going forward as well. And for 2022, we see growth of 20% to 30%. The difference between EBITDA growth and EPS growth is an assumption for a higher tax rate in the low to mid-20% range in 2022. Nevertheless, we are pleased to share our forecast of strong double-digit profit growth after a challenging 2021. To add additional color to our guidance, we expect very strong growth in AMS adjusted operating profit, driven by the continued robust organic sales growth and margin expansion. We are quite bullish on the outlook for our diversified portfolio and end market demand, coupled with the effect of price increases. This underscores our guidance. In addition, we will have the benefit of an extra quarter of Scapa in our results, and we expect Scapa to be solidly accretive in 2022. We also see the potential for resin costs to trend further down towards historical levels which could set AMS up for a strong 2023 as well. Over the next couple of years, we see a path to reach 15-plus adjusted operating profit margins or a 400 basis point improvement from 2021. For EP, we see that at minimum operating profits will be stable compared to 2021 with the potential for additional growth based on the success of our newer innovations. While contractual price increases for wood pulp have taken effect, we still face other inflationary headwinds and industry attrition, but expect to benefit from continuous efficiency improvements and growth initiatives. Given the nature of the industry, we view stable operating profit as a solid result though we do have actions in place that could result in several million dollars of operating profit growth in 2022. From a quarterly view, we see -- we would expect to improve earnings sequentially from the fourth quarter of 2021, with an average of approximately $1 per share in the second through fourth quarters. This implies the most difficult comparison will be the first quarter, given the first quarter of 2021 had strong sales and profit levels and were not yet materially impacted by inflationary costs and supply chain issues. Regarding cash flow, we expect CapEx in the range of $45 million to $55 million and free cash flow of approximately $100 million. In 2021, operating cash flow was approximately $58 million, and after CapEx of $39 million, free cash flow was $19 million, temporarily well off our historical trend. In addition to the effect of lower operating profits, we incurred $19 million of cash costs related to fees and expenses in connection with the Scapa acquisition, and we saw a $56 million increase in working capital outflows from the increased sales and inventory costs. These 2 working capital items accounted for approximately $30 million each of higher cash outflows compared to last year. We expect more normalized working capital improvements this year combined with improved profitability to drive a very strong rebound in free cash flow in 2022 back to the $100 million mark. Net debt finished the year at just under $1.2 billion. Net debt to adjusted EBITDA for the terms of our credit agreement were 4.8x at the end of the year. Despite leverage increasing, we were comfortably below our covenants and have approximately $177 million in liquidity, consisting of $75 million in cash and $102 million of availability on our revolver. While not considered part of free cash flow, the sale of Spotswood site netted proceeds of approximately $35 million, which was used to reduce our revolver balance. We expect net leverage to reach nearly 4x by the end of this year. Now back to Jeff.
Jeff Kramer : Thanks, Andy. We know there's a lot to digest from this call with fourth quarter and year-end results as well as our positive outlook for 2022. So I'd like to spend a few minutes recapping what we view as the 3 most strategic takeaways. Our price increases versus raw material costs, the strategic importance of Scapa and the outlook for 2022. I'll also review some key products around ESG and branding, which hopefully you have seen in our recent press releases. First, regarding the cost increases we have seen this year in our response. Our media price increases were not significant enough to keep pace with the rapidly changing cost environment. These actions though have now been addressed, and we are comfortable with our current pricing. With that, we continue to see escalating costs for energy and freight and are evaluating additional price increases and we'll take appropriate action as required. Second, like the rest of our business, Scapa faced hurdles on input costs and supply chains and the expected 2022 accretion is not as substantial as we had originally projected. This is a bit of a complicated explanation as from a strategic standpoint, we feel even better about the long-term value creation of the deal than we did at the time of the acquisition, and we delivered on our targeted initial cost synergies. A lot of this optimism is based on months of integration and commercial synergy discussions I referenced earlier. We see tens of millions of dollars of new product and new sales opportunities which should deliver attractive incremental profits. We are very impressed by Scapa's innovation capabilities, especially their ability to formulate and bring new products to market in the health care space. And together, we bring an even more robust set of solutions to offer customers in health care and in our other industrial end markets as well. Once we move past some of the near-term constraints, we see no reason why our original financial targets will not be met or exceeded. In terms of our guidance, I would say we are pleased to share that our outlook reflects a strong profit rebound from 2021. But we will not be satisfied until we deliver even stronger results, not only in 2022, but longer term. As Andy referenced, we see the potential for continued profit growth and margin expansion in 2023, particularly in AMS. We have achieved a significant repositioning of our overall portfolio with more than 70% of our total sales in growth markets. We believe our organic growth story is even more sound than ever. There are so many exciting growth opportunities in various stages of execution, and we look forward to advancing each one and sharing the positive results with you as we progress throughout the year. To close out our discussion and as equally as important as the financial discussion above, we want to highlight our recently issued 2021 ESG report. It provides a broad view of the many ESG-related activities underway at SWM. This report is intended to address stakeholder interest in our progress and plans on our ESG's journey. We remain committed to implementing best practices across all ESG principles and will continue on our journey of continuous improvements each year with new projects, achievements and goals. And finally, with all the changes we have made at SWM over the last several years, we believe many do not fully understand the attractiveness of our global portfolio or the broad depth of capabilities and innovations we can bring to market. We have, therefore, just unveiled a refreshed identity, building on our successful history, but emphasizing our positive future. If you step back and look at what SWM truly does, we work with our customers to provide solutions to their most critical design and engineering challenges. And when we do, our solutions help introduce products that improve our lives every day from filtration to fatal vantages. Therefore, you will hear us now reference our company-wide purpose finding ways to improve everyday life. We believe centering our company around this team helps unify our diverse global business, articulates the value we strive to provide to all our customers and their customers and provides inspiration to our employees no matter what their role is in our company. Our refreshed logo and updated website design helps to convey this purpose with a more contemporary and energetic feel. We invite you to check out our website, which showcases our new messaging. That concludes our remarks. Katie, please open the line for questions.
Operator:  We have a question from Chris McGinnis from Sidoti & Company.
Chris McGinnis: I guess if we could just start off with the guidance around Q4 that you provided in November. Just what was the variance there for what you ended up posting? Can you just walk through some of the challenges seemingly a little bit lower than expected, but the guidance for '22 stronger? So just if you wouldn't mind providing a little more color on that.
Andrew Wamser: Sure, Chris. Happy to do that. So let me tell you what some of the sort of the key challenges were and then sort of where we are and what we're doing about it. So I'd say the biggest issues really came from really Scapa, and there are really 2 fundamental issues there. I'd say one had to do with the supply chain shortages in and around some adhesives and release liner materials. And so there, we lost some sales that we thought that we would be able to get out. The second factor, I would say, is just the automotive environment in Europe. It was a little bit weaker than what we expected for the last few months of the year. That being said, with where we are today, one, we do see -- we are encouraged by -- with our 2022 plan where we see automotive sales, at least with our customers headed. So that's certainly turning around. And the second, as it relates to supply chain challenges around adhesives and release liners. We've gone down on multiple paths in terms of getting multiple sources of those materials. And that is being fixed as we speak. And I would say just lose on a third factor, which really impacted not only Scapa, but I'd say EP were some higher energy costs particularly in Europe for the last couple of months of the year, but that's largely it. But again, all these costs and some of these supply chain channels are baked into our 2022 guidance.
Chris McGinnis: Great. And then just thinking about 2022, a little bit stronger than I would have thought given the comments in November. Is it just pricing that is impacting that stronger outlook? Can you just expand a little bit about from November to now, what's changed to provide a stronger outlook?
Jeff Kramer: Yes. Chris, this is Jeff. Couple of things. One is absolutely pricing is one of the major factors. As I indicated in my comments, was an unprecedented rise as the way raw materials went and we got behind the  a little bit there. But we have put multiple aggressive price increases in at the end of the year that are now rolling through our product lines and we're seeing good take-up from those. And so we're comfortable about where we are in pricing. As Andy mentioned, we've also been hit by disruptions in supply chains of certain materials. Many of those materials were starting to get multiple sources and addressing. There'll still be a little bit rocky, I think, supply chain, global supply chains, but I think we put those cases to bed. And then for the most part, demand continues to be strong across our product line. I think that's a really important message. Even in 2021 with what we consider disappointing results, our top line delivered exactly as we expected on our portfolio. And we're continuing to see that demand throughout that. And I'm really excited about our innovation pipeline. You heard me talk about some of the stuff in EP, but AMS has a number of things as well that we think contribute to the upside as well. So -- we think we're well positioned. The supply chain questions will be an uncertain time for everybody this year, but I think we're much more reactive and prepared for them than we were 6 months ago.
Chris McGinnis: Great. And just in relation to Scapa and the sourcing there, can you just talk about the qualification period and how long that takes to bring on new sources?
Jeff Kramer: Yes. It will depend on the product line. So for instance, health care, much longer qualification times, you can imagine. I mean that's one of the things we like about it. It's a defensible business because qualifications are long, and it's hard for others to get in. But at times like that, this causes a challenge. So even just replacing a release line, it can take a long time for qualifications. On the industrial side, much quicker qualifications for the majority of those. There, it's really just making sure from our perspective that the other materials meet our performance criteria because we want to make sure that we don't do something that impacts our end-use customers. And so that sometimes takes a little bit longer. But for the most part, on the industrial side, not a big headwind more on the health care side.
Chris McGinnis: Okay. And just in relation to -- you especially highlighted the product innovations coming out of EP. The single-use plastics are obviously going away. But can you just talk about what maybe you're most excited about in that portfolio of the new product offerings versus the hemp and the single-use switch out?
Jeff Kramer: Yes. There's a couple of things going on in the EP marketplace. Sustainability issues are a big play. And we actually have a lot of activities in play that can help our customers meet their sustainability goals. And that -- those are in active development right now. I don't think they're going to play out in the first 2 quarters at all, but we're hopeful that we'll start seeing some of these incremental things. I'm just excited because our end-use customers need us to help them do these types of things. Then you hear us talking about our botanicals part of our business, the hemp business, et cetera, I think that is another emerging growth area. Our botanicals, we have a number of patents and technologies that we think we can continue to expand. And so I think this is an important part for the EP portfolio because we do see normal attrition in the core. But in these other technologies, we think there is upside, and that's where Andy gives you a nice constant terms of operating income with some upside if some of these things move a little faster than we expect.
Chris McGinnis: Okay. And just on the outlook for '22, just on transportation, do you expect that to trend into, it sounds like '23 as well as strong growth. Can you just talk about the backdrop and then the sourcing issues there as well?
Andrew Wamser: Yes. So on the transportation side, what we mentioned was the worst -- there are some TPU constraints that are not able to meet the market. So I think the market demand is exceptionally strong right now. And I think for us and then even some of our other competitors, they're everyone sort of struggling from a supply chain perspective in terms of meeting that demand. That being said, when we look at transportation, it did grow 21% in 2021. And while we do expect growth this year, we're being a little bit measured in terms of what that magnitude is, depending on where the supply chain is. But as we talk to a lot of our key suppliers and there are a few of them, I think all of them are struggling with one input precursor that goes into making TPU. But with that being said, I think we're encouraged by -- there should be some improvement as we move throughout this year and -- certainly, next year, I think we'll be able to meet this demand. But I think the key fundamental issue for this is that these orders aren't going away. It's just that this market is not -- the market demand is not being met. And since we are the market leader, and we feel confident that these aren't sort of lost sales going to other people.
Chris McGinnis: Okay. Great. Just on the Russia, Ukraine conflict ongoing. Any kind of issues related to the model out there for you with that disruption is going on?
Jeff Kramer: Yes, Chris. No, we have very limited exposure directly to those marketplaces. I think from our perspective, it's really how does it flow through the global supply chain. How does it implicate -- how does it imply energy costs and shipping costs, et cetera, et cetera, but direct exposure is very minimum for us.
Andrew Wamser: Yes. And just to add to that, I mean, just from a high level, it's significantly less than even 1% of our total sales would go to that region.
Chris McGinnis: Okay. Great. And I know you already touched on the pricing, but it sounds like across the industry, there’s a change in pricing from annual. Can you just talk about how you’re approaching that change? How the customer reaction has been? And just how that changes going forward versus your history on the pricing?
A –Jeff Kramer: Yes. It’s been – so let’s start off by – I think I made a comment saying that our customers are now recognizing we’re such a critical part of their supply chain and they need to keep us healthy. And so there has been a mental shift. No one likes for us to come and say we want more money to cover inflationary costs, as you can imagine. But the conversations have been very constructive, and we were actually able to get relief that was noncontractual, both from a pricing perspective and from additional volume shares as an alternative to give us some additional revenue to compensate for costs. We’re also renegotiating several of our contracts. Some have just been concluded, et cetera. And we put in additional terms to give us increased flexibility. We talked about twice annual openers now versus annuals in the past, energy move throughs and another actions. And they’ve been remarkably supportive. Again, no one likes these conversations, so I’m not going to say they’ve been easy, but they’ve been very constructive.
Andrew Wamser: And the other thing I would add is some of those price adjusters are predominantly more so on pulp and EP. And I would say in AMS we have a lot more flexibility in terms of being able to sort of cover our costs. And so again, it’s not a great conversation to have with customers, but I think everyone understands the inflationary environment that we’re in.
Operator: We have no further questions. I'll hand it back to Mr. Kramer for any closing remarks.
Jeff Kramer : Thank you, Katie. Just a quick closing remark. We are excited about what we're seeing in 2022, and we appreciate everybody's support. And we hope to be able to continue to give positive updates in the coming quarters. So thank you, everyone.
Operator: Thank you for joining today's call. This now concludes the call. Please disconnect your lines.